Operator: Good day and thank you for standing by. Welcome to the Jack Henry & Associates Fourth Quarter Fiscal Year 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session.  [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I'd now like to hand the conference over to your speaker today, Kevin Williams, Chief Financial Officer.
Kevin Williams: Thanks, Liz. Good morning. And thank you for joining us for the Jack Henry and Associates Fourth Quarter and Fiscal 2021 year-end earnings call. I'm Kevin Williams, CFO, and Treasurer. And on the call with me, today is David Foss, our Board Chair President, and CEO.  In just a minute, I will turn the call over to Dave to provide some of his thoughts about the Sabre business, financial and sales performance for the quarter, some comments regarding the industry in general, and then some other key initiatives that we have in place.  Then after Dave concludes his comments, I will provide some additional positive comments regarding the earnings press release we put out yesterday after market close. And provide comments regarding our guidance for our fiscal year of 2022 provided in the release, and then we will open the lines up for Q&A.  First, I need to remind you that this call includes certain forward-looking statements, including remarks or responses to questions concerning future expectations, events, objectives, strategies, trends, or results.  Like any statement about the future, these are subject to a number of factors that could cause actual results or events to differ materially from those which we anticipate due to a number of risks and uncertainties. The Company undertakes no obligation to update or revise these statements. For a summary of these risk factors and additional information, please refer to yesterday's press release and the sections in our 10-K entitled Risk Factors and Forward-looking Statements.  Also on this call, we will be discussing certain non-GAAP financial measures, including non - GAAP revenue and non - GAAP operating income. The reconciliations for historical non-GAAP financial measures can be found in yesterday's press release. With that, I'll now turn the call over to Dave.
David Foss: Thank you, Kevin. And good morning, everyone. Today we're very pleased to share details with you of a quarter that produced record revenue and operating income, as well as record sales bookings.  As always, I'd like to begin today by thanking our associates for all the hard work and commitment that went into producing those results for our fourth quarter and for the entire fiscal year, particularly in light of the challenges posed by conducting business while dealing with the ongoing effects of the pandemic.  For the fourth quarter of fiscal 2021, total revenue increased 10% for the quarter and increased 10% on a non - GAAP basis. Deconversion fees were essentially flat as compared to the prior-year quarter. Turning to the segments, we had a solid quarter in the core segment of our business. Revenue increased by 4% for the quarter and increased by 6% on a non - GAAP basis.  Our payments segment performed extremely well, posting a 16% increase in revenue this quarter and a 17% increase on a non - GAAP basis. We also had a strong quarter in our complimentary solutions businesses with a 7% increase in revenue this quarter and a 7% increase on a non - GAAP basis.  As I highlighted in our press release, the fourth quarter was the strongest sales quarter in the history of the Company. June was also the strongest Sales month ever, and it propelled all three Sales groups to exceed their quota for the quarter. While they were signing all those contracts in the fourth quarter, the sales team also did an outstanding job of refilling the pipeline with new opportunities to set us up for success going forward.  I think this is a good sign of the health of our market and bodes well for the start of the new sales year. In the fourth fiscal quarter, we booked 13 competitive core takeaways and 14 deals to move existing on-premise customers through our private cloud environment.  Several of our complementary offerings also saw very strong demand in the quarter with, as you might guess, our digital suite leading the pack. We signed 87 new clients to our Banno digital platform in the quarter, 10 new treasury management clients, and 22 new clients to our card processing solution.  For the full year, we signed 41 competitive core takeaways with 8 of them greater than 1 billion in assets. Additionally, we signed 35 contracts to move on-prem core clients to our private cloud, 219 new Banno digital customers, and 55 new clients for our card processing solution. Of course, we signed a variety of other contracts for many of our other solutions as well, but it's important to note that almost all of these contracts represent long-term recurring revenue commitments to Jack Henry for a wide variety of our solutions. At our analyst's conference in May, I shared with the attendees that we had just surpassed 5 million registered users on our Banno digital banking platform. As of the end of the fiscal year, we were at roughly 5.6 million registered users.  As a point of reference, on July 1st of 2020, we had about 3.2 million registered users. So in one year, we saw an increase of approximately 75% in our user count. This is significant because, as I've stressed in the past, most of the revenue for a business like this is tied to the number of users on the platform.  We continued to onboard clients and their users at a pace of about 30 financial institutions added to the platform each month. In addition to our ongoing success with Banno, we have delivered many new and innovative solutions during the fiscal year.  A few examples include, our Symitar team delivered an automated database migration to almost all of our EPS clients, which allowed them to move to the new database structure with no effort or client impact.  Our lending team delivered the Jack Henry loan marketplace, which allows banks and credit unions to easily engage through a digital experience in the buying, selling, and participation of loans.  Our digital team delivered the Banno digital toolkit, which provides a complete set of application programming interfaces or APIs to enable easy plug-ins to third-party solutions in our digital platform. Our payment team continued the expansion of functionality and adoption of the PayCenter platform and delivered the Zelle digital toolkit to enable clients not using our digital platform to connect to the PayCenter hub for Zelle transactions.  And, of course, the payments group completed the 3 and 1/2 year project to upgrade our card payments platform. Almost all of these new deliverables are built on entirely new technology stacks and are designed to make it easier for our customers to leverage our open architecture tools and philosophy, to deliver cutting-edge solutions for their account holders.  As you may know, we have a number of active projects at Jack Henry centered on the topic of corporate responsibility. We continue to advance our environmental stewardship commitment and recently announced that on risk day, our associates launched a new business innovation group called Go Green.  Our business innovation groups, our Company-sponsored, associate-driven groups that provide a collaborative platform for people, ideas, and thoughts, to intersect, and help address business challenges.  Our associates decided that a business Innovation group focused on our planet was appropriate and necessary for us to make meaningful progress on this initiative. As the labor market continues to heat up, we're focused more than ever on attracting and retaining talented associates.  To that end, we have recently implemented new technology to expand our remote recruiting efforts and broaden our pool of qualified and diverse talent. Our hope is that this approach will only serve to improve on reputation as a great place to work, which we currently enjoy in cities across the country.  Our consistent placement on the Best Places to Work list is a testament to the workplace culture we have at Jack Henry. And our employee engagement scores reflect that strong culture. I'm pleased to share that nearly 2/3 of our associates participated in our most recent engagement survey and our average engagement score was 83%, well above the industry benchmark. Like most employers, we have spent a good bit of time in the past few weeks wrestling with decisions around the right timing and approach to move employees back to work in our Company facilities.  We worked with our leadership teams earlier in the calendar year and determined that more than half of our workforce would continue to work remotely indefinitely. We had targeted July 1st as our return to office state for those who would be returning on a full-time or hybrid basis. But as the Delta variant surged, we reverted to our previous operating model with only essential employees in our offices every day.  We have proven that we can operate effectively in a remote posture and we will continue in that mode until we determine it is safe to make a change. As I referenced on the last earnings call, our long-time Chairman, Jack Prim, has retired as of the end of June.  Jack had been with our Company for many years in various leadership roles and as a Board Member and Chairman. As a result of Jack's retirement, we have announced two changes to the board. Curtis Campbell has joined the Board effective July 1st to fill the seat left vacant by Jack's departure. Curtis is President of Software for Blucora in Dallas. He brings extensive experience in infrastructure and cloud computing, as well as digital development and a keen focus on customer experience. I'm very excited to see what new perspectives Curtis brings to our Board in discussions. Also effective July 1st, I was elected to be the new Board Chair. I was humbled and honored by the confidence expressed by the other board members, and I look forward to leading the Jack Henry Board to even greater success. As I reflect back on fiscal 2021, I can confidently say it was a very good year for our Company.  Our employee engagement scores remain very high and we've made great strides with our diversity and inclusion initiatives. Our levels of customer engagement and customer satisfaction scores are also very high. We have successfully completed several leadership and board-level retirements and replacements.  Our Sales teams are performing extremely well and have positioned us for another successful year of selling. Overall demand for Jack Henry Technology Solutions remains high in all segments of our business. We have a commitment to doing the right thing for our constituents that we believe will continue to serve us well.  We will continue with our disciplined approach to running the Company. And expect that approach to help provide stability for our employees, customers, and shareholders. As we begin the new Fiscal year, I continue to be very optimistic about the future. With that, I'll turn it over to Kevin for some detail on the numbers.
Kevin Williams: Thanks, Dave. Our service and support revenue -- line of revenue increased 6% in the fourth quarter of fiscal 2021 compared to the same quarter a year ago. As Dave mentioned, our deconversion fees for the quarter were pretty flat with last year's fourth quarter.  However, for the full year, our deconversion fees were down 33.3 million for the full fiscal year compared to the prior year, which is actually the guidance that we provided a year ago on this call.  Our service for revenue primary driver was our data processing hosting fees and our private cloud and public cloud offerings, which continued to show strong growth in the quarter compared to the previous year, growing by 7% for the quarter.  However, the growth in this line is slowed significantly due to product delivery in service revenue, which includes deconversion fees, license, hardware, implementation, and convert merged revenue, which only grew 2% compared to the prior-year quarter, which this line is obviously somewhat impacted by COVID. Our processing revenue increased 15% in the fourth quarter of fiscal 2021 compared to the same quarter last fiscal year. The increase was primarily driven by our higher card volumes from new customers installed last year and increased debit card and credit card usage from existing customers.  Our Jack Henry digital revenue continues to grow -- show very strong growth as demand for our Banno digital platform continues to be very strong as Dave highlighted. Our total revenue was up 10% for the quarter compared to last year on both a GAAP and non-GAAP basis.  So excluding deconversion fees and divestitures, our non-GAAP grew 10% as well. For the full fiscal year, revenue was up 4% on a GAAP basis and 6% on a non-GAAP basis. Again, excluding deconversion fees and revenues from divestitures.  Our cost of revenue was up 8% compared to last year's fourth quarter. The increase is primarily due to higher costs associated with our card processing and higher personnel costs compared to a year ago.  Our research and development expense decreased 4% for the quarter of fiscal '21 over the prior-year quarter. The decrease was due primarily to a slightly higher percentage of costs being capitalized for product development this quarter compared to a year ago.  Our SG&A expense increased 3% in the fourth quarter of fiscal '21 compared to the same quarter in the prior fiscal year. The increase is due primarily to increased personnel and professional services costs.  Our reported consolidated operating margins increased nicely from 18.7 last year to 21.4 in the current year quarter. And on a non-GAAP basis, our operating margins expanded from 17.8% last year to 20.1% this year. Our Payments segment saw the nicest margin expansion in the quarter. After completing the payment platform migration in Q3, margins grew from 43% last year to 45% this year on a fourth-quarter on a GAAP basis, and on a non-GAAP basis, our Payments segment margins grew from 42.3 to 44.5.  So over 200 base margin expansion. Our core segment operating margin decreased slightly during the quarter compared to last year on both the GAAP and non-GAAP basis. While our Company's segment margins increased slightly on both a GAAP and non-GAAP basis.  The effective tax rate for the fourth quarter of Fiscal '21 was down slightly to 19.7%, compared to 20% in the same quarter year ago, primarily due to some tax -- state tax deductibility timing. Our net income grew 25% to 76.9 million for the fourth fiscal quarter, compared to 61.3 million last year with earnings per share of $1.04 for the current quarter, compared to $0.80 last year, or a $0.24 or 30% increase over the prior year.  Our cash flow total amortization increased 3% for the fiscal year compared to last year primarily due to capitalized projects being placed into service last year, including the total amortization as the amortization of intangibles related to acquisitions, which decreased to 17.7 million this fiscal year compared to 20.3 million last fiscal year.  Depreciation is up slightly at less than 1% for the year compared to the prior fiscal year. During the year, we purchased 2.8 million shares of our Jack Henry stock to the treasury for 431.5 million. And we paid dividends of 133.8 million for a total return to shareholders of 565.3 million for the year.  Our operating cash flow was 462.1 million for the year, which is down from 510.5 million last fiscal year, which is this decrease was primarily due to the timing of various operating assets and liabilities and timing. We invested 157.8 million back into our Company through Capex and capitalized software. Our free cash flow, which is operating cash flow less Capex, less cap software, and adding magnetic proceeds from the disposal of assets, was 310.5 million for the year, which represents a 99.7% net income to free cash flow conversion.  Yesterday's press release inadvertently omitted the proceeds from dispositions line of net cash from investing activities within the cash flow summary, a mass that should've been included were cash inflows 60 -- 6.187 million in fiscal '21 and 11,130 million per fiscal 2020. The totals for investing activities were correct.  This will mission was corrected in the version of the earnings press release filed yesterday on Form 8-K, and the one located on our website. A couple of comments on our balance sheet, a cash position of 51 million compared to 213 million a year ago, primarily down due to the significant stock repurchase we did.  You remember at the end of Q3, we had 200 million draws down on a revolver. During Q4, we paid down 100 million of that balance. So at 06/30, we had $100 million on a revolver. We had no other long-term Debt on our Balance sheet other than operating leases. For the year, our return on average assets for the fiscal year was 13.1%. Our return on invested capital for the fiscal year was 21%. And our return on equity for the year was 21.7%. Yesterday, we provided both GAAP and non-GAAP revenue guidance in the press release for fiscal 2022.  We also provided a reconciliation of GAAP and non-GAAP revenue guidance in the release following the segment information in the press release. Just to be clear, this guidance continues to assume that the country continues to open and the economy continues to improve, but if things were to go differently than this, then guidance will be revised.  For GAAP revenue growth for fiscal '22, based on the amounts that were released yesterday, our revenue guidance is a range of 8.2% to 8.7% growth over Fiscal '21 due to higher anticipated deconversion fees compared to FY '21. And for non-GAAP revenue growth, we're guiding to an initial range of 7.5 to 8% growth for the fiscal year.  Obviously, these will be updated during the year on future earnings calls. We do anticipate GAAP and non-GAAP operating margins to improve a little in FY '22 compared to last year as we should have nice margins expansion in our payments segment and anticipate higher deconversion fees.  I am somewhat cautious on guiding to too much of the improvement in operating margin, as we will continue to have headwinds on the license revenue. As we continue to move core customers from on-prem to our private cloud. Also, travel costs continued to increase significantly compared to the last year. And at this time, we are still planning to host our Jack Henry Annual Conference and our Symitar Edu Conference in person this year. Thereafter, there will be some large cost returning this year compared to last year when there was very little travel.  However, we do think that we will get at least 50 BPS of margin expansion in the fiscal year. Our effective tax rate for FY '22 is projected to be slightly higher at approximately 22.5% to 23% compared to our actual rate this year of 21.7.  And this is primarily due to the significant impact from equity awards that were deductible in FY '21. Our initial FY '22 GAAP EPS guidance is a range of 453 to 460, which is a 10% plus increase in our FY '21 finish. This concludes our opening comments. We're now ready to take questions. Liz (ph), will you please open the lines up for questions.
Operator: [Operator Instructions] Our first question comes from Vasu Govil with KBW.
Vasu Govil: Hi. Thanks for taking my question. And I wanted to congratulate David on becoming Chairman of the Board.
David Foss: Thank you, Vasu.
Vasu Govil: I guess, just the first question to follow up on the margin commentary there that you have provided, Kevin. I know that previously you had indicated about 100 basis points of margin expansion in fiscal '22 and potentially even some upside to that. Now, you seem to be indicating 50 basis points. So I guess, just wanted to understand what changed in your outlook versus what you were expecting before?
Kevin Williams: Well, I will tell you that the biggest change is the impact of COVID because, obviously, we had some really nice margin expansion this year with no travel-related costs. Obviously, there was also a decrease in revenue from converted merge revenue and other things. So there's a lot of offsetting things out there. And just to be clear, I feel like both our revenue GAAP or non-GAAP revenue grows from 7.5% to 8%. And our margin expansion of 50 bits is both conservatives.
Vasu Govil: Got it. Understood. And I guess the second question I had, I was just hoping if you could provide some color on growth expectations by segment for fiscal '22, particularly what you're expecting for the core and payments segment.  I know with the core segment, do you expect sort of this improvement that we've seen on a non-GAAP basis to kind of continue into next year and then payment segment everybody been quite strong and then is there room for further acceleration as some of the new wins on the card payments side start to flow in?
Kevin Williams: Yeah. So I mean, we saw some really nice margin expansion in the payments segment in Q4, we will see more in FY '22. There are still additional costs that will be coming out by the end of the first half of Fiscal '22 in the payments segment.  So I think there will still be some really nice margin expansion. And as we added additional customers, that will also expand the margins. And obviously, cards are still 60% of the payments segment.
Vasu Govil: Thank you very much.
Kevin Williams: Thank you.
Operator: Our next question comes from Peter Heckmann with D.A. Davidson.
Peter Heckmann: Good morning, everyone.
David Foss: Good morning, Pete.
Peter Heckmann: In terms of thinking about the record sales in the fourth quarter, is there a way of thinking about total bookings on like TCV or ACV basis? In terms of thinking about a year-over-year increase, I think in the prior year you had 43 competitive core takeaways.  Of course, not all financial institutions are equal. They're quite variant in sizes. But given some of the difficulties over the last fiscal year, either way, thinking about the kind of percentage increase in overall bookings that might help us think about the outlook?
David Foss: Yeah. When you have a sales sense, Dave, by the way, Pete, when you have a sales organization or a sales quota, the size of our sales quota, a percentage increase of more than 5% per year is a very significant increase.  And if I remember correctly, I don't think I have it exactly in front of me, but I think it was year-over-year. It was about 7% or 8%, somewhere in that range, year-over-year as far as sales bookings.  Now, we know -- you know this well, we don't publish TCV numbers or anything like that, but it's -- that's a good way to think about how we measure quota and how quotas are assigned. So you can kind of use that logic in making some assumptions. So if we're 7% or 8% ish increase over the prior year as far as sales performance, that's a good way to think about it.  Now the other thing I'll point out is when we assign quotas for the next year, meaning for the year we are in now, fiscal '22, we -- our starting point is last year's performance, and then we normally apply somewhere between 3% and 5% quota increase over the top of what the performance was last year.  So that's where the sales team is starting out this year is with a sales quota that is somewhere in the 3% to 5% range larger than it was their actual attainment for the prior year.
Peter Heckmann: Got it. That is helpful. And then just thinking about the cadence of term fees, the guide for term fees, and the surprise with some of the uptick we've seen in M&A in the mid-tier space. But in terms of the cadence, Kevin, would you specifically call out some level for the first quarter or when you might think those might hit just in terms of trying to get the quarterly forecast correct?
Kevin Williams: Well, I mean, Peter, obviously, we've been hearing a lot about M&A activity, which obviously that's what drives deconversion fees is. But we have not seen a lot of actual activity yet so I think that's going to grow over the year. So I have a feeling that the bulk of the deconversion fees are probably going to be in the second half of the year.
Peter Heckmann: Got it. Okay. Thank you.
Operator: Our next question comes from Dave Koning with Baird.
Dave Koning: Hey, guys. Thank you and nice job. And I guess my first question, just when we think of kind of the wallet providers, that space, there are a lot of investors that are just concerned that that group is just going to take over the world and all bank accounts will kind of move to that over time. But I guess a couple of things, am you seeing growth in your number of accounts?  I don't know if you have some metrics on that, your total accounts. But also, is there any reason that the banks can't do exactly the same thing and provide all the same services, plus have FDIC insurance and all those things that make most consumers rather just have a bank account over time?
David Foss: That's a very intuitive question, Dave. In fact, I'm presenting at a conference in, I think it's February of next year, on that very topic, because bankers are starting to realize that, that if you have a good digital platform on the front end, and if you take advantage of open infrastructure like we have at Jack Henry and it's the reason we talk about it all the time, you can do as a banker, essentially all those same things and draw customers to your platform as a bank with the FDIC insurance backing it, and there's a real opportunity for bankers to take advantage of this desire and demand among consumers today for solutions like that.  So we're doing that today with a number of banks, but part of that channel -- part of the process for me is to educate bankers on what they can do, what they should be thinking about, how they compete in those areas.  So lots of opportunities for our customers and for Jack Henry, but it are based on a really outstanding digital platform. And then having all the connectivity to connect those types of Fintech functions into that digital platform.  And we have all those things in production today at Jack Henry. This isn't a wish for the future, this is in production today with customers today, so great opportunity. And so the first part of your question about customer growth, so yes, we are able to measure customer growth, whether it's members on the credit union platform or customers on the banking platforms.  And not only are we adding customers because we're winning share, we're winning new customers, so the net number of customers we serve is greater, but because there is same-store sales growth happening, particularly on the credit inside of the business, It's happening on the banking side, but it's been strong on the crediting side of the business as well.
Dave Koning: Okay. Great. Thanks. That's good to hear. And then maybe secondly, growth in payments, obviously, really good. I assume that debit transaction growth is just off of a pretty low base. But how do we -- how do you expect that to grow through the year?  I would think Q1 would still be pretty high off kind of easier comps in then maybe the rest of the year, a little below double-digits or something, like, do you have any sort of cadence for that?
David Foss: I think that's a good expectation. The other thing I'll highlight is, we talk and Kevin emphasizes that 60% of our payments business is on the cards platform, but don't forget about the business we refer to as EPS, enterprise payment solutions.  That's our merchant cat -- our remote capture and mobile capture business. That business has been growing nicely as well. So it's a much smaller piece of the segment, but it's growing rapidly.  And I think you're going to continue to hear more about that business at Jack Henry as well. So both of those two. And I've said it on many earnings calls, the bill pay business, relatively flat for everybody.  There's not a whole lot of new stuff happening in traditional bill pay. The card growth that you've seen, I think under or in the high single-digits is a good expectation for the card growth. But it will be greater than that for the EPS business as far as what we're seeing right now because of the strength of that platform.
Kevin Williams: And Dave, remember it's not just debt. We now offer full-service credit as well because we could not offer that before we got moved over to the new platform. So our full-service credit is growing, basically, from a base of 0.
Dave Koning: Yeah. Gotcha. Thanks, guys. Nice job.
Kevin Williams: Thanks.
Operator: Our next question comes from Kartik Mehta with Northcoast Research.
Kartik Mehta: Hey. Good morning. Kevin, I just wanted to ask a little bit about the credit card platform conversion. Looks like that's going well. And you talked about a little bit more a cost coming out of the payments business.  I'm wondering in relation to what you anticipated for cost savings out of that platform, would you have achieved that or exceeded that? How would you characterize the cost savings from your platform?
Kevin Williams: Okay. So, Kartik, we completed the migration in Q3.
Kartik Mehta: Right.
Kevin Williams: So we had all customers on the new platform and in -- sometime in April, we started decommissioning the four mainframes that supported the 2 platforms that we used to have. And I think those got completely decommissioned, I believe, by mid-July, if I remember right. But there are some other things that are going on here, Kartik. So there were some other tools that we have to keep the talent on to rewrite and get some additional tools in place, which will be done by the end of Q2. And so you'll see some additional costs coming out by then. So by Q3 of this year, we will see the full benefit of the cost takeout that we guided to 3 years ago.
Kartik Mehta: Perfect. And Dave, I think you've talked about maybe core demand now increasing as people realize that COVID is still going on and some of the decisions they didn't make, they're making. How would you characterize core demand today? Is it increasing or is it back to normal?
David Foss: I would say that it's back to normal. So normal for Jack Henry. So pre-pandemic, we were running at about one new competitive replacement per week. We're back to that level now. We did 15 last quarter, we did 13 this quarter.  Everything that I'm seeing now would indicate that that's a pace that we can run at for a while. It's definitely leading the industry by far as new quarter replacements. And that's -- that looks sustainable for us now.
Kartik Mehta: And just one last question there. Have you seen any change in the competitive nature for these core renewals, maybe as the market gets back to a little bit normal?
David Foss: For core renewals, what -- we've talked about this in the past. Consultants are now engaged every time there's a renewal. So 10 years ago, it was rare to have a consultant involved in the renewals. Today, every single one of them has a consultant and that's not just Jack Henry, it's in the industry. And how does the consultant justify their role?  It's by ensuring that it's a very competitive process. So that's been going on. It started before the pandemic. It is definitely in place today, where every single renewal for all of us, there is a consultant engaged. They are encouraging diligent review of pricing and all that kind of stuff. And so we know how to operate in that model and we're comfortable with what's happening.
Kartik Mehta: Perfect. Thanks, Dave. I appreciate it.
David Foss: [Indiscernible].
Operator: Our next question comes from John Davis with Raymond James.
John Davis:  Hey. Good morning, guys. Kevin, just a quick clarification around the margin. So you said 50 basis points. Just want to clarify, that's on a non-GAAP basis of expansion. And then to the follow-up there.  I think our math suggests that the payments cut for migration would be about a 50 basis point benefit this year. So the right way to think about it, that incremental travel and other expenses kind of offset normal operating leverage with maybe a little bit of upside during the conservative comments.
Kevin Williams: And then, John, I saw you -- I saw in your note about the EPS and your calculation on margins. You also remember that our effective tax rate is going to go up from 21.7 to 22.5 to 23% too, so if you're just looking at EPS, that's also going to have a slightly negative impact, but we're still guiding EPS to grow more than 10%.
John Davis:  Okay. And then you guys are guiding deconversion fees up about 70% year-over-year. Is that the right way to think about the increase in conversion merger revenue? And then, anyway, you guys can give us an idea of what percentage of a normal year convert reg -- convert merge revenue is a percentage of your core segment revenue?  Just trying to understand because I think that was one of the areas that were a little bit weaker than you expected this year. And just how we should think about that bounce back coming in '22.
Kevin Williams: Yeah. There was a significant headwind from convert merge revenue being down because there's no M&A activity, and you're absolutely right. I mean, if deconversion revenue does take up as we think, our customers will be buying just as much as our customers are getting acquired.  So not only would it increase convert merge revenue, but also it'll increase billed travel because we'll have more people traveling out to do that convert merges. As a percentage of total revenue, on top of my head, John, I can't -- I mean, it's not a huge number.  But when you start talking several million dollars in convert merge revenue that we'd beat missing bills full boat for those. So it's a very nice margin business, a price of them. It's actually the highest implementation margins we have. So not only does it help or reduce the headwinds on revenue, but also, it helps our overall operating margin.
David Foss: And I will chime in here, Dom on that topic. We -- one of the things that are interesting in this business is when a -- an existing customer is looking at acquiring another institution, whether it's a bank or credit union, we have a lot of visibility into that because they will contact us to say, we're working on this deal.  We may not consummate the deal that we're working on it, we want to make sure that we have a conversion slot available. We have time on the Jack Henry calendar because we want to be able to do that as quickly after we close the deal as possible.  So we have good visibility -- a good deal of visibility into the activity that's happening out there in the convert merger space. And I can tell you right now there is a lot of activity. So there's a lot in the press about M&A activity coming back.  And we're certainly seeing it in the number of our customers who are coming to us saying, we're looking at acquiring another institution, we want to make sure you guys are ready to help us. So we can't exactly predict when those things are going to happen, but the activity levels are definitely back.
John Davis:  Okay. And then last one for me. Kevin, anything to call out from sequential cadence this year on the revenue side? Where margins are? Should we just basically look at 2 years to your CAGRs on the top line? And maybe remind us when your in-person conferences are in those expenses and which quarters those will be in. Thanks, guys.
Kevin Williams: Yeah. So, John, it's a good question. And actually, I thought about that as I was driving over here for this meeting this morning. Cadance said -- the one thing I'd say is, we've now been on ASC 606 now for 4 years. So the cadence of growth is going to come to the same.  Q1 should be really strong because of all the software subscription revenue that we take, the first -- that quarter. It obviously gets a little weaker in Q2 and then just grows in Q3 and Q4 from there. And as far as our user conference, or actually a combined conference this year, well, they're not really combined, they kind of an overlap, and those are scheduled to be in October. So that'll hit Q2.
John Davis:  Okay. I appreciate you, guys. Thanks.
Kevin Williams: Yeah. Thanks, John.
Operator: Our next question comes from Dominick Gabriele with Oppenheimer.
Dominick Gabriele: Hey, good morning. Thanks so much for taking my questions. The sales pipeline is just so much better, 7% to 8% versus your quarter -- your quota, rather, of typically a raise of 3% to 5%. Maybe we could talk about what's filling that gap. Is it a few large clients that you won that have kind of raised that?  Or is it perhaps some pent-up demand that's coming in recently that was lagging previously? Maybe you could walk us through the puts and takes of why you're -- is it just pure execution? Anything you could provide there. I'd really appreciate it. Thanks so much.
David Foss: Sure. And just to be clear, Dominick, so when I was referring to the 7% to 8%, I was talking about actual performance over the prior year. So pipeline, just so we're all clear on terminology when I talk pipeline, I'm talking about the opportunities that we're working currently that may close in the future, as opposed to quota attainment as things that have been booked in the past and are deals that have already been signed with our customers.  But to answer the specifics of your question, no, this is not just a few large clients or something like that. This is a broad suite of solutions that we've been selling to a broad list of customers. Of course, the core success that we've had this year was significant, and so that's a driver.  I highlighted in my opening comments the number of Banno customers that we signed this year, so 219 brand new Banno digital customers. That is becoming an important driver for us as we go forward. But then it's all of these other solutions. So treasury management and all the customers that we signed for our payments platforms, including like I mentioned in my response to Dave Koning's question earlier, our EPS platform, which we're seeing some nice interest in that as a payments platform for our customers going forward.  So it's just a broad variety of solutions to the point about pent-up demand and that's a little bit of a tough one because we saw -- sales were lumpier during the height of COVID, but we didn't see -- when you look at it over the 12-month period, we didn't see sales slowed down, but it was very lumpy.  So I have trouble characterizing it as pent-up demand because the sales happen, they were just not quite as smooth or normally accustomed to. So I think it's interesting, Jack Henry, its customers coming to Jack Henry who just hasn't done business with us before.  And it's because of this broad suite of solutions that we have and all of the new technology we deliver. So I highlighted it in my opening comments. The work that our Symitar team did around database migration, and delivering an entirely new database.  The lending team with all the new functionality that we've delivered there this year, the digital team, which I've already highlighted, the payments ' PayCenter platform that I talked about in my opening comments, where we now enable all these real-time payments through our brand new, ground-up payments platform. So it's a variety of different things that you add them all together and it was just a really successful sales year.
Dominick Gabriele: It is definitely no question arguing with the awesome sales wins numbers. And then maybe just one more. When you talk about the revenue and margin guidance being conservative, can you maybe walk through some of the puts and takes of that commentary? And you went over this a little bit. But when you think about beating the 50 basis points margin expansion, does that really coincide with you beating your revenue guidance? And perhaps what kind of investments do you think you could look -- you could see where, even if you beat on the revenue guidance, there are some additional investments you'd like to make that might just keep you around that 50 basis points overall for margin expansion for the year? Thank you.
Kevin Williams: That's a good question. So to beat the guidance we gave for non-GAAP revenue, it would mean that we would have some continued implementation of movements from some of our card customers.  So move some large debit customers over the continued success in our credit card platform processing MA activity, which would drive the convert merge revenue and billable travel that we talked about earlier. And then just meeting and then obviously the continued movement of moving out in -- on-prem customers into our private cloud also help our margins. So there are several different drivers that could cause us to beat that non - GAAP revenue guidance. And from what I'm seeing, I think that's probably going to happen. But I'm not willing to step on that limb and say how much this point. And every one of those things I just mentioned can also help to improve margin. As far as investments, I mean, we just finished our budget and I don't know that even if we beat revenue guidance, I don't know that there are any big investments out there that we need to make, that we're not already making, either from a cap software development or from Capex that's not already in the budget, which is part of that guidance.
Dominick Gabriele: Really great. Thanks so much for taking on my questions.
Kevin Williams: You bet.
Operator: Our next question comes from Ken Suchoski with Autonomous Research.
Ken Suchoski: Hi, good morning, David and Kevin. Thanks for taking the question. I just want to ask about Banno since you had some really strong results there. I believe Banno is no longer restricted to the core basis year.  So I was hoping you could talk about how you expect Banno growth to trend now that that offering is open to the rest of the market. And what's the size of that business today? You mentioned I think it's 5.6 million users. I mean, what type of revenue does Banno contribute?
David Foss: So first off, just to be clear, Ken, what I've said is that we'll start selling Banno outside the base in calendar 2022. So it's not this calendar year, it will be next year. This year is the major deliverable for the Banno group is Banno business, which is the -- you think about all the functionality we have on the consumer side with Banno, in a couple of months here, we'll deliver all that same type of functionality on the business side of the solution.  And then it'll be next calendar year that we'll start delivering outside the base. But as I've stressed on these calls in the past, most banks and credit unions in the U.S. -- I'm not just talking about Jack Henry core customers, I'm talking in general.  Most of them have an Internet banking offering and a mobile banking offering and they are 2 different things, 2 different experiences. Consumers don't want 2 different experiences anymore. They expect to have a single experience when they go to access their information from their financial institution.  And it doesn't matter what the form factor is. If they're on a phone, on a tablet, on a PC, they expect to have the same experience. And so that creates an opportunity for us, both inside and outside our base. And so that's not changing anytime soon. There are thousands of institutions out there who will, over the next several years, upgrade their digital experience, and we plan to be there with Banno outside the base next year. As far as the size of the business, we don't call that out as a separate business. We have discussed at some point, we would possibly do that as a segment, but we're not there yet. But it's -- the 5.6 million users, I've been asked on these calls before.  There are some pure players -- pure-play offerings out there that you can kind of do the math and figure out based on their number of users with the revenue per user is. Is that transferable to Jack Henry? And my answer is generally, yes, that's transferable, so you can kind of figure out how large the business is.  The thing that I will stress is for that business. Our digital business operates under the same rules as our other businesses at Jack Henry, which means you don't get a pass on making money. You have to produce operating income, operating results in addition to revenue growth. And certainly, the Banno business is doing that for Jack Henry.  So it's continuing to grow nicely, will continue to grow nicely based on all the things we're seeing right now, the backlog of installs that we have right now. And will continue to produce operating -- bottom-line operating results for our Company.
Kevin Williams: Just one more thing in there. So when we talk about digital, that's not just Banno that includes a lot of different things, which includes our predecessor NetTeller solution, which we still have several hundred FIs on our NetTeller solution and using our goDough mobile solution.  And a lot of those will never move to Banno. But when we talk about digital, we're talking about all of that [Indiscernible], and Geezeo, and Molson, which is open anywhere, which is some of the acquisitions we've done the last 3 years. So the term digital encompasses quite a few different products and offerings.
Ken Suchoski: Yeah. That's really helpful. The very detailed answer there. Appreciate that. And I know you guys aren't giving guidance for fiscal year '23, but there's a lot of moving parts at the margin in terms of things opening up, you have the platform migration.  But once that platform migration, I guess, is behind you, what's the right way to think about margin s or margin expansion after fiscal year '22. Just because when I look at your numbers, I mean, Jack Henry had a, call it a roughly, 24.5% operating margin in fiscal year '17. I mean, is that a good benchmark for fiscal year '23?
Kevin Williams: Well, it depends on which numbers you're looking at for 2017. If you're looking for the restated numbers after ASC 606 or if you're looking at the previous numbers because ASC 606 did have an impact on our margins.  But I would say -- I'd answer it this way. I'm pretty comfortable that after we get through FY 22, again, there are a lot of unknowns out there with COVID and all of the things. But I think starting FY 23, we can kind of go back to our normal 50 to a 100 basis points expansion in our operating margin as we get everything kind of put back in place this year.
Ken Suchoski: That's really helpful. And then maybe my last question just -- I guess, as you think about new sales and how they're expected to trend as the economy reopens, the pipeline's quite strong. Just curious if you expect that to accelerate as you get back to see your customers in person.
David Foss: Yeah. I don't expect that you're going to see some great big pop in sales. I mean, as I said before, our quota is a very large number today. And so if you're growing it 3% to 5% year-over-year on a very large sales number, that sets the Company up pretty well because we're such a high concentration of recurring revenue.  So you assume that the recurring revenue is continuing to percolate and you're layering revenue in on top of it, and you're growing a sales quarter at 3% to 5% per year over the prior-year performance. That's a pretty solid model so I'm happy with that model. Don't expect that we're going to see some great big pop in sales in the coming year. I think the performance will continue to be solid and consistent.
Ken Suchoski: Okay. That's really helpful. Thanks a lot, David and Kevin, really appreciate it.
Kevin Williams: Good.
Operator: Our next question comes from Dan Perlin with RBC Capital Markets.
Dan Perlin: Yes. Good morning. It's [Indiscernible] for Dan. Just a quick question. With the payment platform conversion done, are there any remaining major solutions that need to be kind of re-plat formed onto the open architecture?  And then with theoretical solutions on an open architecture. Does that change the sort of accounting cadence between capitalization of software, timing, or D&A, or are the income statement components of CapEx?
David Foss: So I'll take the first part of your question and Kevin can address any of the hard financial questions, the CFO stuff. So first up, we have about 300 different solutions. And so they are all in some stage of either full platform on a completely open platform, or they're in the process or some has done.  And there are some that it isn't logical to take them to an open -- to a new architecture. We, for example, have a payroll solution that it's been around for a long time. It was a successful product. Nobody is buying payroll solutions from a provider like us anymore.  We haven't sold a copy in 20 years. Why would we put the effort into re-platforming that product? So if you look at the broad suite of solutions that we offer, it isn't logical to try and move everything to a new platform.  But for all those that are -- the real high demand solutions, maybe either have been put into a completely open environment or they're in process of offering that type of solution. And many have been imported to public cloud offerings. So we're both in Azure and AWS today with some of our solutions. We have many in our private cloud. So it's just -- because of the broad suite of products that we have, it's just kind of naturally a variety of different platforms that we offer them on. But for the kind of the key solutions that either is today supporting open connectivity, open infrastructure, or we're well on our way to doing that. And then I'll let you take the hard part, Kevin.
Kevin Williams: So the other part, Dan, is if you look at us for, let's say the last 10 plus years, and I actually have a chart that shows this, our total R&D spend for R&D expense on the P&L and cap software on the cash-flow statement has been 14% of revenue.  So our total R&D spends has grown at almost the exact same pace as our top-line revenue for the last 10 years. I don't see that changing. I think we're not changing that. And I would tell you that the way that -- we don't do really big bang productions.  I mean, we do sprints and do try to get modules rolled out as quickly as possible and do additional modules. So there's no -- you're not going to see a huge increase in amortization of software in any given year. It's just kind of become slowly grow.  Because at any given time -- there's actually a chart I show the Board every quarter. At any given time, about 85% or 86% of our total cap software on the balance sheet is in production being amortized. And that hasn't changed for the last couple -- the last few years either. So what that tells you, as we're continuing to develop all that software, we continue to roll it out.  But at the same time in 5 years, some of the stuff, the amortizations were done amortizing. So you've got an offset there. So I don't think that we're going to do anything crazy in the foreseeable future. It's going to have much of an impact on either cash flow or the P&L other than what you've seen in the last few years.
Dan Perlin: Okay. Thank you very much.
Kevin Williams: You bet.
Operator: That concludes today's question and answer session. I would like to turn the call back to Kevin Williams for closing remarks.
Kevin Williams: Thank you. And thank you all again for joining us. We continue to be very pleased with the overall results of our ongoing operations. I do want to thank all of our associates for the way they've handled these challenges by taking care of themselves and our customers and continuing to work hard to improve our Company to continue moving forward for the future.  All of us at Jack Henry continue to focus on what is best for our customers and our shareholders. Thank you again for joining us. And Liz (ph), would you please provide the replay number so it's in the transcript?
Operator: The replay of this call will be available until 11:59 PM Eastern Time, August 25th, 2021. [Operators Instruction]. Thank you, and have a great day.